Operator: Good morning, ladies and gentlemen. Welcome to the First Quarter 2024 Matador Resources Company Earnings Conference Call. My name is Daniel, and I'll be serving as the operator for today. [Operator Instructions] We will facilitate a question-and-answer session at the end of the company's remarks. As a reminder, this conference is being recorded for replay purposes, and the replay will be available on the company's website for 1 year as discussed in the company's earnings press release issued yesterday. I will now turn the call over to Mr. Mac Schmitz, Senior Vice President, Investor Relations for Matador. Mr. Schmitz, you may proceed. 
Mac Schmitz: Thank you, Daniel, and good morning, everyone, and thank you for joining us for Matador's First Quarter 2024 Earnings Conference Call. Some of the presenters today will reference certain non-GAAP financial measures regularly used by media Resources in measuring the company's financial performance. Reconciliations of such non-GAAP financial measures with the comparable financial measures calculated in accordance with GAAP are contained at the end of the company's earnings press release.
 As a reminder, certain statements included in this morning's presentation may be forward-looking and reflect the company's current expectations or forecasts of future events based on the information that is now available. Actual results and future events could differ materially from those anticipated in such statements. Additional information concerning factors that could cause actual results to differ materially is contained in the company's earnings release and its most recent annual report on Form 10-K and any subsequent quarterly report on Form 10-Q.
 In addition to this morning's earnings press release, I would like to remind everyone that you can find a slide presentation in connection with the first quarter 2021 earnings release under the Investor Relations tab on our corporate website. And with that, I would now like to turn the call over to Mr. Joe Foran, our Founder Chairman and CEO. Joe? 
Joseph Wm. Foran: Thank you, Mac. We'll probably be brief and to the point. But obviously, the quarter is off to a good start. We're really pleased and believe or confident that the next quarter will be even better. We now have the connectors in place and functioning. So, you have 595 miles of pipeline that it works is enhanced by being in one system. Second, by doing so, we've increased our flow assurance and not only increase flow assurance at the same time, we improved our balance sheet by recently happy 3 transactions.
 We amended the credit agreement to extend out to 2029, 5 years and increased the committed amount from $1.325 billion to $1.5 billion with room to go up from there on the basis of our borrowing base. And that's important because think about it for a moment that 19 different credit committees among base said that we have the financial strength to do that and then 19 different reservoir groups reviewed our assets and said they were in support of not only the amounts that are $1.5 billion, but we could go higher than that.
 And this we call the triple crown was the Triple Crown was supported by both our old and new now base and is in place and is available, not that we plan to spend is immensely or anything else, but it indicates the financial strength that we can look for future quarters. And then the last time guess, I'm pleased to report that we're going to turn on a record number of wells this quarter.
 There will be 43 gross operated wells and 36.2 net wells. So, I look forward to answering your questions today, but also look forward to coming back in 90 days and indicating what we've done to improve the asset base of Matador. So, with that, I turn it back to you, Mac and whatever questions -- that's all that are on the line. 
Mac Schmitz: Great. Thanks, Joe. Daniel we're ready for questions. 
Operator: [Operator Instructions]. Our question, our first question Scott Hanold with RBC Capital Markets. 
Scott Hanold: Look, brick-by-brick M&A has been a stable of your strategy, I think, since the inception. And I've got sort of a couple of part kind of question. But like how do you see the current market opportunities in terms of price and quality out there right now? And as you go forward, can you talk about the mix, like how you see the economics of both organic and inorganic growth? And then finally, if you could give us some color on what you think your financial capacity is to do more M&A at this point? 
Joseph Wm. Foran: Well, let me take that in order. The first question is we're happy to go either way on either growing organically as we've mainly done in this Matador has grown primarily organically. But also, we're prepared to go by acquisition depending on whatever the industry and the economy is giving us is that there are times when it's better to do one or the other, much like a football team has a passing game and a running game.
 And if you look back, we have now, I think, something like 68 wells have been drilled on the straight-line acreage. Yes, 62 currently producing and then take more this quarter... All right. So, 68 wells. But when we bought that, our stock took a big hit because people couldn't believe we paid that much for it. But with 68 wells, you can see that it actually worked out. And that's the kind of the dissidents of an acquisition, you paid the upfront money, and people can think you overpaid and so it takes a matter of months or years to prove it out just as we did in state line.
 Then on the second half is you have these drilling opportunities. And so, you want a balance of those. But again, that takes time, and you do that one at a time. So, it's an incremental deal over time, there are advantages to both, and the best way to folks I believe, is have a wide variety of ways to grow. -- you could add midstream in the back, building out midstream is a growth opportunity, organic growth opportunity, but it enhances the value of your production because today, what you need in the Delaware is flow assurance. And there's a capacity limitation and unless you have some flow assurance and work with the other pipeline, you're going to have some difficulties getting your product to market. 
 So, I just point out that, that you need to be prepared to grow in all these different ways because you never know what the economy is going to do or circumstances. And as another example in the storm are because we had our own midstream system, those guys, I really had respect because they were out there sleeping in their trucks and keeping the gas flow that might not have occurred elsewhere, but because it was their gas as well as ours, they were at their sleeping in their trucks.
 And on that point, I'd just say I think it's helped that we have an employee share purchase plan, which we have over 90% participation. And their professionals, they would have probably done that anyway, but it didn't deserve to keep the gas low because they're all shareholders, too. Now your second question was about our financial strength to do this. Is that right, Scott? 
Scott Hanold: Yes. Just an idea of your capacity to do more at this point? 
Joseph Wm. Foran: Well, a good question. Thank you for asking. But recently, we did what we called our Triple Crown was we refinanced our reserve-based lending agreement with those 19 banks that I mentioned. And we increased it from $1.7 billion, $25 billion to $1.1 billion. But as we did that, we've paid down our RBL to where we only have approximately $25 million borrowed on the RBL, and we were able to do that because the RBL was signed on Friday.
 And on Monday, we did the stock offering for 5 million shares, and that's approximately $350 million. And so that enabled us to pay down all the RBL. So, we have a half today, basically $1.5 billion on the RBL available to do acquisitions. Then we went out and on Tuesday, did a bond offering that was heavily oversubscribed. And as was the stock offering, and we picked up $900 million. And those monies don't do until 2032.
 So, we're sitting there with time on our hands. We can afford to be patient, but we're actively looking to grow either way and -- or a third way with midstream. So, first Matador grew primarily by acquisition the second Mandor has been primarily organic. But even acquisitions, we're looking for acreage to go along with whatever production comes. So, we're not particularly interested in some that's all production. We want to balance between the drill bit and actual production so that you in the first have something that as organic have production. So, some balance on that. And we try to be creative and solve the problems and work with others. So, we're active in all those directions. Great. 
Scott Hanold: I appreciate the color. And as my follow-up, Joe, you mentioned flow assurance is important. And right now, Waha gas is obviously under pressure and in the negative kind of arena, and it probably will persist in the back half of this year. Can you talk about your position? Is there any concern of not getting our gas sold or getting some weak pricing on the residue gas. Can you kind of give us your view of those dynamics from Matador? 
Joseph Wm. Foran: Well, that's another good question, Scott, and I'll let Greg Krug, who's the Head of our Marketing and Midstream. And this is something we've talked a lot about, put a lot of thought into. And I think Gregg has done a terrific job of creating diversity on our sales of our gas product. Gregg? 
G. Krug: Thanks, Joe. Yes, Scott, we've tried to take a very wide look at this as far as to try to get our diverse market portfolio out there as far as where we're not exposed to one particular index or the other. We've got a lot of different options here anywhere from hedging to financial positions for gas transport on firm transport, I should say, on takeaway pipelines to other regions like Houston Ship Channel, for instance. We're looking at all those different options. And I think we've got a pretty good scatter of our exposure to all the different indices. 
Joseph Wm. Foran: And Greg, just to add to that a little bit, is that even at Waha, you have a range that you either go with or you have other choices. And the same thing is that with the NGLs that gives us a hedge on pricing. 
G. Krug: Yes, that's correct, Joe. As far as the NGLs, you need to keep in mind, we are a 2-stream reporter. So, when we talk about our natural gas pricing, we also have an NGL component, and we get a nice uplift on that for it kind of really all depends on the particular wells, but some of these wells are really rich. And there's a lot of NGL that comes along with the production. So, we get a nice uplift on that as well. 
Scott Hanold: Yes. But in particular, just to hone in on one point, just if you could, do you have any concerns? I mean, you're growing production in the Permian, it's tight with capacity right now. I don't think a lot of other players are growing production too much. But do you see a risk that you may not be able to sell your gas or there'd be difficulty sooner gas that could constrain things in your outlook at this point? 
Joseph Wm. Foran: No, we don't. And one being reason is that, I mean, we do hold firm transport on these pipes. And if -- and then we're protected as far as on the hedging part of it, on the basis there at Waha for instance, where if you see negative pricing there, I mean, we've locked in that basis number for a portion of our gas where we're not exposed to that with that portion of gas that we hedged. And so, I think we've got plenty of transport to get out of the basin. We're not concerned with that. Now you're right, as far as with growing production that we have, that's one reason we're looking at additional capacity out of the basin, and we're looking at all the different pipes. And I think we're well on our way to get in a position where we're going to be filing on that. 
Scott Hanold: I appreciate it. Thank you. 
Operator: One moment for our next question. Our next question comes from Tim Rezvan with KeyBanc Capital Markets. Your line is open. 
Timothy Rezvan: Good morning, everybody. I just wanted to toss on what Scott was talking about on M&A and more on the bolt-on side. If we look at kind of the cash rate for the tender and the equity issuance, it was much greater than what you spent in the last couple of quarters on bolt-ons.
 So, can you provide any kind of line of sight on what you think the bolt-on budget maybe looks like this year? I know it's hard to gain, but there's a lot of questions about that. Any kind of financial rings you can put around on what you see for the rest of the year would be very helpful. 
Joseph Wm. Foran: Tim, I appreciate your question, but it's really difficult to put any number around at all. It's kind of like going fishing is when you go fishing them whether you're going to catch 2 fish or 10 is, you're going to get out there and see what works and what's available and what to be done at a reasonable price. What I would emphasize that we don't depend on acquisitions to meet our growth targets, those are opportunistic.
 And in many cases, we're merely adding to the working interest that we already have. And that kind of way it works on trades, too, is that we trade out of some we don't have a big interest in for something that is more direct on us.
 So, it's really a moving target that we first pin our growth on our drilling activity, where we control the leases and we operate the wells, and then we optimistically look at the acquisition opportunities, whether it's by trade or by adding working interest from our partners or acquiring a company as we did advantage last year.
 And we've put ourselves this year with that Triple Crown of RBL stock offering and bond offering to where we can do both meet our drilling growth by drilling and growth by acquisition. So, we'll do a company when the opportunity is right, but we want to maintain our ability to go either way. So, if you had a drive sell on acquisitions, you've got plenty of leases to drill.
  And in that case, we're confident that we could acquire an additional rig or even 2 to grow by organically by drilling that our main drilling contractor for -- since the inception of Matador 40 years ago, has been Patterson for its predecessors. And we're confident they would work with us to get us the necessary rigs if we needed to do organic growth because the acquisitions have been slammed.
 And the same thing is we're financially in positioned that we don't have to cut back on the 8 rigs that we currently have running. They are high spec to do an acquisition because as I indicated, we've got over $1.5 billion available plus our cash flow and Mustang bored on a current RBL and feel like if we bought some that would only go up with the acquisition. So, we tried to arrange it to give us as we try to say as many options as we can Tim. 
Timothy Rezvan: Okay. I found some numbers. I didn't think I'd get it, but I appreciate that context. Let me say if I could get some numbers here. Huh? 
Joseph Wm. Foran: Okay. Well, as I would say to you, Tim, as well as everybody else on the call is, look, we'll answer the questions as best you can, but I want to remind you how we run an open shop here, that if you'll come to stress, we'll spend more time with you and they can meet some people. We always want you to know that you and the other analysts are welcome to come here and have a private session with us. 
Timothy Rezvan: Okay. I appreciate that. If I could take is on a follow-up on the midstream side. It sounds like things are being on track for Marlin for middle of 2025. As a bigger entity, how do you think about kind of long-term large-scale projects that you may need to do -- and if you think you're kind of beyond sort of the heavy lifting on the large projects, how do you weigh the value of owning the segment versus highlighting the value some potential transaction because you can argue there's not a lot of value in the stock today for San Mateo. And I'll leave it there. 
Joseph Wm. Foran: Well, Tim, first, I would say that's a buying opportunity for any shareholder out there that feels we're not getting full value because in time, we all know the market begins in the near term may be a popularity contest, but in the long term, it's a laying deal. That's why I think you have 90% or more participation by the employees here because they can see the value of the midstream and the on the returns that we're getting from our drilling operations. So, I'm patient on that. I've never sold a share of Matador stock because I could see that the value is increasing.
 Some of it had not yet been recognized. But in time, I'm confident that it will, that the midstream was done not just as an attraction or that it was done because it had usefulness utility to our drilling completion and production operations and assured us that we wouldn't be waiting on top line, but beginning our gas to market and when that well is ready to come on, there would be pipe way there that take it to market.
 Now it's had additional benefit because of changes in the environmental regulations so that we're not flaring. And over the past 4 years, we've cut our emissions by 55%, which is partly enabled by having our own pipeline to carry away the water and where we're not having to flare and we're not trucking the oil and gas and create an environmental come, but virtually all of our oil is on pipe. So, it's something, I think, that adds value, but it also is very useful to our day-to-day operations.
 And I think in time, people will see that. And as a public company, we play a straight game. If somebody comes in with a serious offer or a serious proposal in some way to work with us on our pipeline or as I said, even to acquire it, we'll give it serious consideration. But right now, we find plenty of use for it in getting our oil, gas and water taken away as needed and is helpful. 
Operator: Our next question comes from Neal Dingmann with Truist Securities. 
Neal Dingmann: For the next quarter. Joe, my first question just on all services. I maybe ask is a little bit different. I know you guys do great contacts and relationships then.
 I just wanted to hear more about like what is your thoughts on these as you and the team about bundling versus debundling when it comes to services because I guess where I'm going at is for as of late, there's been sort of pass-through and different costs that have gotten steeper.
 So, I'm just wondering when you think about oilfield services, how do you have a preference when it comes to bundling or debundling of the sand, account chems and other things around that. 
Joseph Wm. Foran: Yes. First, I'm just going to thank our service providers. They've done a terrific job of being there when needed and their efficiency and everything else, great relationships and really appreciate the extra efforts that we've gotten through them. And it's been a key effort. So, it's not just us that has gotten things there on time and had to sell in the field. They've participated and they've been great to work with. But on specific answer to your question, I'm going to turn to Chris and he tell you how he talks on bundling. 
Christopher Calvert: Yes. Hi Neall, it's Chris Calvert, EVP, COO. It's a great topic. And I think one thing that we do like to highlight into is the partnership that we have with Patterson and really, if you want to call it, bundling from a drilling and pressure pumping perspective, that is, I guess, what you would call bundling. We use 2 of the largest cost centers that are provided by one parent umbrella company that is Patterson-UTI. They have universal pressure pumping that merged with next period.
 So that is really kind of the bundling of 2 of our largest cost centers. And we feel that, that is a huge benefit when this transaction took place for the merger between UPP and next tier. The services that we were used to with Patterson as far as quality of thrust carryover. And so, we look at things where that is really kind of a bundled package within our drilling contractor and our pressure pumping provider on, you've mentioned sand and pressure pumping similar to our drilling contracts similar to gas takeaway, we always value optionality here.
 That's something that we're always wanting to prioritize. And so, when you think of sand bundling, whether it is provided by the pressure pumping company or self-source to a third party. We continue to look at optionality and the best way to optimize any sort of difference or delta in between contracted volumes from a sand contract or excuse me, from the pressure pumping provider or a spot rate, it could be a little bit better at any given time. So, the value of the optionality between those 2 services is something that we always look at, but we do bundle that as well at times.
 And so, it is something that we are always looking at. And so those, I think, cover really 2 of the largest cost centers that we talk to. And that's really kind of how we see these things. There are advantages to bundling. And then also, it makes sense sometimes to have optionality to where you're not tied to a specific provider. 
Neal Dingmann: That makes a lot of sense. And just a quick follow-up on Midstream, would the connections in price now turn seems like it really going your way on that. Do you all anticipate more sort of third-party going through that? Or should we expect that any time soon? 
Joseph Wm. Foran: Yes, Neal. We're developing third-party relations. On a constant basis, our guys out there meeting and when everybody know, we run a straight game. And one interesting thing that occurred in... Gregg Krug, who's Head of our Marketing and Midstream can elaborate on it. But one of those third parties said, I'm very comfortable having you take away the gas and pipeline because I note that if you're flowing, I'm going to be flowing.
 And I won't be sad that if you're moving your gas, you've got to be moving my gas, too. So, we appreciate that perspective, and that's true, and we are proud of our third-party people selling the gas and we try to give them the exact same service that our people get and feel so far, they've been most helpful in giving other people to cost to see if we can make a deal on being a reference for us that they've been really pleased with our service and work. But, Gregg? 
G. Krug: Yes. This is Greg again. I echo what Joe just said. As far as we definitely do not play favorites when it comes to Matador gas over third-party that we have out there. And I think that's critical that we do that. We want to stay credible. And that's not the way to treat your third party whenever you've got them on your system. So, we definitely try to treat them the same as the Matador gas. And it is a comfort.
 I think that some of them as far as a last one, we think we have heard as far as we're going to go the extra effort to make sure gas flows during bad storms. Joe just talked about Winter storm Uri. That's a good example of that. Our folks are out there day and night, and I mean no time to actually working during subfreezing weather. And I can't say that necessarily about some of the other folks out there as far as the other midstream companies and so forth because we did have some of the wells that we had connected to other places. 
Neal Dingmann: So, I feel like there's some assurance there for third parties. 
Joseph Wm. Foran: Yes. And on the deal is we're comforted by the amount of repeat business, virtually all of our current third-party customers or repeat customers that have been with us before. But let me turn it to Glenn, who is the head of our production that is making that happen. 
Glenn Stetson: Yes. And Neal, I just wanted to kind of pile on here and give a shout out to the guys in the field, Sam Witten and Paul Ramirez were a big part of getting those connectors driven to completion on time or ahead of time and on budget.
 Those connectors in the quarter, we installed over 50 miles of pipe, and we talked about some of the oilfield service side, but our guys in the field work very closely with the companies that construct those pipelines, and we were able to do quite a bit of work in the first quarter, and it sets us up very nicely for the second quarter.
 We have a number of wells that are going to produce to utilize those connectors, including those 21 Dagli South wells. So, it was a very busy quarter and again, kind of sets us up really nicely here for Q2. 
Neal Dingmann: Great detail. Thanks Joe. 
Operator: Our next question comes from Zach Parham with JPM. 
Zachary Parham: You highlighted that higher oil volumes were driven by better-than-expected production at Stateline. I noticed you haven't turned in line any wells there since 2Q of last year. So just trying to get a little bit more color on what's driving the outperformance there? Is it lower a seller decline? And you would have thought maybe just any color you can provide there on the better performance? 
W. Elsener: Zach, it's Tom Elsener, again. Thank you for your question. It's a great question. I think a lot of the performance has been to really on the midstream team again. I know we've talked about that quite a bit, but they have a unique system that they designed kind of stay line going to talk about more.
 But basically, they are able to custom put these wells into either a high-pressure, medium-pressure or low-pressure gathering systems that allows them to very rapidly appropriately the well to the pipeline pressure and the lower pressure that can go into the better the wells can produce.
 And then also age in our ability to recover from offset activity, as wells go down and these repairs. There's a lot of clever things that Glen and has seen and look for the same state have been able to accomplish down there. There are certainly great wells, and we're very proud of them as well. But I think a lot of the comments you made here recently have been to the credit amidst team. Although today, we have drilled 6 additional wells, and those will be the online here of the layer in the third and second quarter as well. 
Zachary Parham: And then just one on the guidance. You raised the full year guide to the high end of the range, but didn't provide an update on the 4Q exit rate guidance, which was previously, I think, 98,000 barrels a day at the high end. I'm just trying to get a sense of the production trajectory going forward based on my math, to get to the high end of the range at 24%.
  It seemed like you're just over 100,000 barrels a day in 4Q. Maybe if you could just give us an update on where you expect to exit the year and maybe any initial thoughts on what that can mean for 2025 volumes? 
Brian Willey: Yes, Zach, this is Brian. Happy to answer that. Thanks for the question. You're right. We pointed to the high end of guidance. We're really proud of the quarter that we had and to be able to point to the high end of guidance for the year. I mean, fantastic work by the teams and be able to execute that.
  And we haven't given a lot of specifics on the second half of the year, whether the balance between the third quarter and the fourth quarter. I think there's a lot of alteplase. I think we expect third quarter to continue to improve over second quarter. And then the late the fourth quarter, obviously, a few months out and early in the year.
 So, we haven't updated the guidance as it relates to that quarter yet. But we're really excited about the remainder of the year and how it sets us up for a great 2024 and then into 2025. So, this really, really great news all around. 
Operator: And our final question comes from the line of Leo Mariani with ROTH Company. 
Leo Mariani: I wanted to just ask a little bit on CapEx trajectory here. I wanted to get a sense of how you see that kind of playing out. I know you've got the second quarter guidance here. Would you guys expect CapEx to come down a bit in the second half of the year versus first half? Just trying to get to get a sense of the capital cadence as it kind of relates to the operations. 
Joseph Wm. Foran: Leo, that's a great question. When we talk about it every week, if not every day of how things are looking. And it's a little hard to predict because somewhat tied to what the commodity prices do. If the commodity price goes up, our current estimates would be a little low. If it goes down, then our CapEx is much are probably going to be a little high.
  Now that's simplistic, but we try to put the best number we can and adjust it throughout the year. So and stay within cash flow and the other financial parameters that we make our decisions by. But let me turn it to Brian Wiley because he works on this every day, if not every hour. 
Brian Willey: It certainly feels like every hour, it's not every minute. So, we think about this a lot as Joe said, and talk about that. And you're right, we did going to the high end of guidance for production, but we're proud that we were able to do that and not gave our guidance as it relates to capital expenditures. And you saw in our release, you had $10 million that was in savings that we incurred during the first quarter. So ranked by Chris and his team, the production group as well and just really great execution.
 The remainder was just shifted to the second quarter, and we expect throughout the remainder of the year that kind of that midpoint of guidance on the CapEx that you'll see that just play out over the third quarter and then in the fourth quarter. But really excited to be able to raise production guidance while we didn't change CapEx guidance. 
Joseph Wm. Foran: I think that's a great story for us. As Leo and that's the way I look at is this to variable deal. It's not just what you going to spend, but what are you going to get for that money that you spend. And that's why Brian's point, I think, is a real good one that we've increased production, but we didn't increase CapEx, which meant we were able to achieve some cost savings as well as to find ways to improve our efficiency, and we'll continue that throughout the year.
 And while it may vary a little bit, we'll be matching it up or comparing it to what we're getting accomplished in the way of increased production or increased services or fixed plant like the Marlin. So, all that goes in and I look upon it as a too variable deal as opposed to a one variable. 
Leo Mariani: Okay. I appreciate that. And just to follow up on the midstream here. Joe, you certainly mentioned that you thought there was some hidden value in the stock, and you could be somewhat patient and maybe wait for a deal at some point.
  But I know that majors of companies maybe expressed a little bit of frustration over the last year or so that all the midstream value creation has shown up in the stock. I mean, I guess, to the extent that when we kind of continue on labor this year or into next year and you still feel like there's not a lot of value in the stock and Matador may be poised at some point to maybe take some action and try to bring some of that value out on the midstream side? 
Joseph Wm. Foran: Well, we're always looking for opportunities. And as I said, we're a public company and people that have proposals, we will look at them. And if there are serious proposals, we'll look at very seriously. And we, I think everybody runs the company would like -- feels their stock is a little underpriced. I don't read my CEOs get out there and say, "Hey, guys, our stocks over price, you might want to trim a little bit. So yes, I think there are opportunities.
 And you look at it, how we've outperformed overall how we've outperformed the S&P 500 of the Russell 2000 or even our peers, we've been one of the highest performing. But like anybody, you're always looking to do a little better. But as you can think that the first Matador started with $270,000 after 20 years, we sold for $388 million saves a nice run.
 But this Matador started $6 million and were up their over $8 billion, approaching $9 billion and an original shareholder in the first Matador got in at $0.85, $0.90 something like that and sold for 18 in a quarter. This Matador their basis of the original shareholder is $3.56. And now we're in the 60s. That's pretty been a pretty good return. And during COVID, we went down to single digits and anybody bought me in has had a 10 to 1 type gain.
 And now we're paying a dividend. And so, it really doesn't matter so much what it was, but what is it down to someone and what they might expect. And if it behaves like we've done in the last 40 years, it's still going to be a very good return for and continue to be a good run. I mean, going from $3.56 back in 2003 to 65 is basically a 20:1. So even if you're not getting 100% of the whatever you call true value, you still have the benefit of over a 20:1 type gain, and we're paying the dividend now that has run steadily, we've done it.
  So, we think that's a good offering. And if you look at the quality of the properties, we're in the best basin earning good returns and expanded to hedge our value some by having the midstream. So, you not only have a commodity-based business, but you have a fee-based business. So that also reduces the risk and you look at the heavy ownership by employees.
 And again, I repeat I have never sold a share of stock and neither have most of our other offices because we can see the opportunity is growing and sooner or later, if we really have the value that we think we have those in the market will see it and come off. One of the major business magazines in the country, you would all know if I mentioned the title, but it had an article that said we were one of the 8 stocks that people ought to buy. And the other companies that they mentioned and they were far better known than us, General Motors being one of them.
 But if you look that article, I was flattered to be in that group. So, I think the outlook is good. We've been very consistent. You look at how many quarters that we've met or exceeded guidance and the financial strength that we have, the oversubscription that we had both on the stock and the bond is another good sign. And then when you figure 19 different banks, look have credit committees look at it and say, this looks fine. And then they have 19 different reservoir groups.
  So, I think we've been thoroughly vetted as some that has some value. And I think both our drilling side and our midstream side are very optimistic that they'll be continuing that value in the years ahead. And our team has bet and they're really working well together. And as we said, we've been giving throwing prices on our field guys because we think they're some of the best in the business. And I think the staff is, and it's really a total team effort, and they're not sharp elbows, but there's a bunch of guys that are time to add value, and we've grown, as I said, from nothing, basically nothing to be in the #8 largest company in New Mexico.
  So, I think it's a pretty good record, and past performance is no guarantee of future performance, but that's why I like the best, and I like our chances. Thank you. 
Operator: Thank you. Ladies and gentlemen, this ends the Q&A portion of this morning's conference call. I'd like to turn the call over to management for any closing remarks. 
Joseph Wm. Foran: Well, after that last speech, I think I'll just say do and tell you, we really appreciate you all listening in and the invitation that comes see us and visit more at length in more detail about any questions you have is open is sincere, and we mean it. And I think as you meet our people, you'll feel more and more comfortable with either investing or adding to your investment and also want to note that we have an annual meeting coming up June 13, I believe, and we would invite you to attend the annual meeting.
  It's a little different than some because we didn't come up through private equity, but we came up through printing family. So, you have a lot of individual investors that are there that have been shareholders for 40 years. And as long as 40 years and many that are in the 20 to 30 years, and you asked about their experience, and you have a chance to visit with our young people and take an estimate of what you think of them.
 They'll be there with this place about the new drilling bits that are coming on to the market. And another bit of innovation is the U-turn well and explain how that comes about as well as other things we get questions. So really think that's an opportunity that you may not get with larger companies, they're more formal, but we really invite you, we'd like to get to know you all better and continue to have more dialogue. So, Brian invites you and Mac our President, let me turn to President Mac, what would you add to all of this? 
Mac Schmitz: I think one thing I would add is just, obviously, everyone on the phone can't see the room, but bring this full with our team and the staff and really want to thank everybody in the room, everyone in the whole company because these are good results, and those results wouldn't happen if everyone weren't doing their part and pitching in and working it. So also thank you to some of these companies that we've done deals with.
 We feel like we try to structure our deals as a win-win for both sides, and a lot of those companies are repeat business. We get back together when there's another deal to do. So, it really is all about relationships. We do carry our relationships and Joe's invitation is sincere. We do hope to see everybody when you get a chance or at least talk on the phone more if you come up with other questions. So, thanks, everyone, for pitching in and doing their part, and we'll keep running head long into the next quarter. 
Joseph Wm. Foran: Yes. I would like to say there's over 50 people besides the senior officers here in this room, and we do that. So, everybody knows what's going on and as an idea of where we go from here, and they get to hear your questions and they like to hear my answers. And the answers are the other senior people. So, it's a little different than some companies do, but it works for us, having come up again with trends and family.
 We try to maintain that availability. And we think all help make us better with your questions and the like because efforts we go over the questions and make sure that we're addressing them, and we all have often made really good points that we taking into consideration in making our final decision. So, thank you. I think it's a process that works. It may be a little slow at times, but we'll get there. And we like our chances going ahead. So come see us, and keep in touch. 
Operator: Ladies and gentlemen, thank you for your participation today. This concludes today's program.